Operator: Good morning. My name is Therese, and I will be your conference operator today. At this time, I would like to welcome everyone to the Unifi First Quarter Earnings Conference Call. [Operator Instructions] I would now turn the call over to our CFO, Ron Smith. Go ahead, Ron. 
Ronald Smith: Thanks, operator, and good morning, everyone. Joining me for the call today is Bill Jasper, our Chairman and Chief Executive Officer; and Roger Berrier, our President and Chief Operating Officer. 
 During this call, we'll be referencing a webcast presentation that can be found at unifi.com. The presentation can be accessed by clicking the First Quarter Conference Call link found on our homepage. Before we begin, I first need to advise that certain statements included herein may be forward-looking statements within the meaning of federal securities laws. Management cautions that these statements are based on current expectations, estimates and our projections about the markets in which the company operates. Therefore these statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecasted or implied by these statements. Please refer to our disclosures filed with the SEC and our Form 10-Qs and Form 10-Ks regarding various risk factors that may impact these results. Also, please be advised that certain non-GAAP financial measures, such as adjusted EBITDA, will be discussed on this call and a non-GAAP reconciliation can be found in the schedules to the webcast presentation. Before we get to the financial details for the quarter, I'd like to turn the call over to Roger, who will provide you with an overview of the markets and the raw material trends. Roger? 
R. Berrier: Thanks, Ron. There were signs that the economy is continuing to gain strength as rising consumer confidence translated to stronger than expected consumer spending in the September quarter. 
 According to recent figures released by the Commerce Department, all retail sales increased by 1.1% in September, and this comes on the heels of a 1.2% increase in August, which marks a strong back-to-school performance. 
 Core retail sales, which exclude automobiles, gasoline and building materials, rose 0.9% in September, which was well above the 0.3% that analysts expected. 
 Looking specifically at apparel, retail sales in the U.S. increased 5.5% in the September quarter compared to the prior year quarter and are up 1.9% compared to the June quarter. 
 Inventory levels at retail for apparel continued to hold at approximately 72 days while total supply chain inventory decreased to 64 days in the September quarter, compared to 67 days for the year-ago quarter. 
 Inventory days at apparel producers, which had been growing from 50 days in the March 2011 quarter to 56 days in the June 2012 quarter, decreased to 54 days in the September quarter. 
 Therefore, we see that inventory in the total supply chain has been stable for the last 3 to 4 months, which indicates current production rates are staying closely aligned to retail sales rates. 
 On a square meter fabric equivalent basis, total apparel input or -- excuse me, total apparel imports into the U.S. are expected to climb by approximately 2.7% for calendar year 2012, compared to the previous calendar year. 
 This would indicate that the projected annual improvement in retail sales of apparel mentioned earlier will be largely due to inflationary prices at retail and not by actual increases in units purchased. 
 Since total volume of actual yarn consumption is closely aligned with square meter fabric equivalents, we will project an equivalent year-over-year decline of 2.7% in yarn consumption associated with apparel. 
 Looking at a few other market segment trends that impact the company's volumes. Building permits and housing starts grew in the September quarter compared to the June quarter and are significantly higher compared to year-ago levels. 
 Retail sales for home furnishings increased 9% in the current September quarter, compared to the year-ago September quarter and rose 2% compared to the June quarter. 
 Retail inventory days in the home furnishings segment were at 102 days at the end of September quarter, and this marks their lowest level in our rolling 5 years of tracking. 
 The automotive market in the U.S. continued its strong year-over-year performance with sales increasing 14% and production increasing 15% in the September quarter, compared to the prior year quarter. 
 However, compared to the June quarter, August sales declined 4.6% and production was down 8%, which reflects the normal seasonality trends typically seen in this segment. 
 Turning to our global business. The exchange rate for the Brazilian real was slightly above BRL 2.0 to the U.S. dollar for the September quarter, which compares to a 1.63 average in the year-ago quarter. 
 The stabilization of the real, which has been near or above BRL 2.0 to the U.S. dollar since May, has helped stabilize our volume in Brazil. 
 Although the currency rate favors domestically produced goods, we are still facing stiff competition from imported fibers, fabrics and finished garments in Brazil. 
 We continue to see slow growth of retail sales of apparel in Brazil, which is projected at 1.8% for calendar 2012. However, domestically produced garments in Brazil are projected to decline by 11.5% in 2012. 
 Imports of not only finished garments but polyester yarns as well continue to put pressure on our volumes and margins in Brazil. We are countering these trends with an aggressive mix enrichment strategy along with continuous process improvement in manufacturing efficiency gains to lower our costs and remain competitive with these increasing commodity imports, especially the textured yarn imports. 
 Turning to the North American region. Our customers remain committed to their sourcing strategies in the region, and we continue to see indications that CAFTA will remain a key supply base for U.S. apparel with more opportunities for growth. 
 In calendar 2012, the North American region is projected to hold share for the fourth consecutive year at approximately 18%. 
 Turning to China. We had expected 2 of our larger customers to return to the market in the September quarter. One customer did return while the second customer did not as they continue to work through inventory issues throughout their supply chain. Fortunately, some of our development projects came online during the September quarter, which made up the volume shortfall attributed to this customer. 
 The new volume that we picked up from these new programs was at a lower average price, which also has a lower margin and, therefore, negatively impacted our overall margins. 
 Our outlook for China remains positive, particularly since we expect the other large customer to return to the market. We anticipate that we'll be running close to budget expectations in China in the second half of the 2013 fiscal year, and we remain encouraged by the projected growth in the region, especially for our PVA products. 
 Our PVA strategy in Asia continues to be an important factor in our downstream efforts with brands and retailers as we work with them to develop programs that incorporate our premier value-added yarns. 
 Looking at Central America. We continue to be satisfied with the performance of our operations there. We recently completed the installation of the additional texturing capacity at UCA, and we are currently running our DTY capacity near full utilization. 
 In addition, a bill was passed in Congress on August 3 that provides a technical correction to the sewing thread provision in the United States-Dominican Republic-Central America Free Trade Agreement. The amended legislation, which took effect on October 13, will close a loophole that allowed for the use of non-originating sewing thread in the assembly of textiles and apparel under the DR CAFTA agreement. 
 The technical modification clarifies that single or -- that single-ply synthetic sewing thread is required to be produced in the United States or the CAFTA-DR region in order for goods to qualify for preferential tariff treatment. 
 All other sewing threads already enjoy the benefits of yarn forward rules of origin under the free trade agreement. 
 The passage of this bill is important to Unifi and our operations in Central America as it will likely result in improvements to our twisted and sewing thread volume and business in UCA. 
 As you know, 2 years ago we set a goal to double our global PVA sales within 3 years, but we projected on our quarterly earnings call in July that it would likely take 3.5 to 4 years based on the economic conditions in China and Brazil. We remain on the path to meet that goal, which translates to a 20% average annual growth rate for our PVA products. 
 Once we achieve this goal of doubling our PVA volume, we will continue our focus toward improving the total share of PVA sales within our complete portfolio of products, which currently stands at approximately 20% of consolidated revenue. We feel confident that we can continue our growth, our global PVA sales 15% to 20% annually, and that this growth will drive overall product mix enrichments for the company, which will result in PVA products representing a larger share of our overall sales volume. 
 Raising the visibility of REPREVE continues to put us in a position to develop programs with many of the world's leading apparel brands. For example, we are very excited by programs being developed for 2013 by Lee, Dockers, Savan [ph], Dickies, Eddie Bauer and IZOD. We are also looking to build more consumer awareness for REPREVE, and we are in final negotiations with ESPN to be a major sponsor of the Winter X Games, which targets the lucrative 18- to 34-year old consumer base. 
 The X Games will take place in Aspen, Colorado, from January 24 through the 27, 2013, and this REPREVE brand sponsorship has the potential to reach over 57 million consumers. 
 Finally, polyester raw material pricing in the September quarter continued to moderate from a year-ago levels, coming down from their highest levels in more than 30 years over the 9 months ending June 2012. 
 As this moderation in polyester raw materials costs worked through our inventory, we realized a quarter-over-prior-year-quarter improvement in the company's gross profit, up 350 basis points as we recovered lost margins. 
 We did, however, see polyester raw material prices begin to move upward again in August and September, and we expect this upward movement to continue as demand for PX and PTA improves as capacity tightens for PX and MEG around the globe. 
 Our adjusted EBITDA results in the December quarter will likely be impacted as we implement price increases and recover margin in this rising raw material environment over the next 1 to 2 quarters, and Bill will comment more on this in a few minutes. 
 One additional challenge that we continue to face is the gap in polymer pricing between the U.S. and Asia, which has actually increased to $0.11 per pound in the September quarter from $0.09 per pound in the prior year September quarter, even as raw material prices have moderated. 
 This anomaly can occur based on the fact that Asia's PTA pricing is market-driven, while it is formula driven in the U.S. 
 This gap, which was only $0.05 per pound in the September 2010 quarter, puts additional pressure on our volumes and margins, particularly at the lower end of our product line as we compete with DTY imports at low prices. We are seeing added pressure on this segment for ourselves and volume projections for the second quarter. 
 With that as a backdrop, I will turn the call back over to Ron. 
Ronald Smith: Thanks, Roger. We'll now begin the review of our preliminary financial results for the September 12 quarter, which begins on Page 3 of the presentation with net sales and gross profit highlights. 
 Domestic polyester volume increased in the September 2012 quarter versus the prior year quarter based on the improved year-over-year market conditions Roger spoke of earlier. 
 However, in the nylon market, the company did experience a slight slowdown during the quarter related to inventory adjustments to specific customers. 
 Internationally, year-over-year volume improved by 24% as our volume in China nearly doubled compared to the prior year and volume in Brazil increased by 12% as the domestic textile market in Brazil continued to improve. 
 The decline in pricing is primarily the result of the currency exchange rate changes in Brazil that Roger mentioned earlier, coupled with the growth of some higher volume, but lower-priced PVA products in China. 
 The year-over-year gross profit improvement of $6.2 million in the September 2012 quarter is primarily a result of a margin improvement as polyester raw material prices declined at the start of the quarter and were approximately 13% below the September 2011 quarter; higher production volumes and capacity utilization, especially in Brazil; the positive impact of our continuous improvement and cost reduction initiatives; and year-over-year growth of our higher-margin premium value-added products. 
 Turning to the income statement highlights on Page 4, the company is reporting net income of $2.3 million or $0.11 per share on net sales of $173 million, which is an improvement over net income of $286,000 or $0.01 per share on roughly equivalent net sales for the prior September quarter. 
 Interest expense declined $2.9 million in the current quarter as a result of the company's deleveraging strategy, which has reduced total debt by $49 million since June 2011 and the lower effective interest rate related to our comprehensive debt restructuring in May 2012. 
 Earnings from equity affiliates declined $2.8 million, compared to the year-ago quarter. 
 The decline is primarily attributable to the performance of Parkdale America, which I will discuss later on the Equity Affiliates Highlights slide. 
 Turning to Slide 5. Adjusted EBITDA for the September 2012 quarter was $13.8 million, which is at the high end of the $13 million to $14 million range that we provided for the quarter on our earnings call in July and an improvement of $5.7 million compared to the prior year quarter due to the previously noted improvements across our business segments. 
 Turning to our equity affiliate highlights on Page 6. The company's earnings from Parkdale America declined $3.8 million in the quarter compared to a year ago quarter. Based on discussions with Parkdale, we understand the softness in the cotton apparel market caused by several large customers de-stocking their inventory resulted in lower volumes and margin pressure. 
 This de-stocking is evident in the trade flow metrics as cotton apparel imported into the U.S. from the North American region declined 12% year-over-year despite reasonable performance of retail apparel. 
 Parkdale, as the leading regional supplier of cotton, has been understandably impacted by these volume declines. 
 Parkdale America's earnings were further negatively impacted by the timing of deferred revenue recognition related to the EAP cotton rebate program. During the quarter, Parkdale America received approximately $4.9 million of benefit under the program and deferred $2.3 million of benefit due to the timing of qualifying capital expenditures. 
 During the quarter, Parkdale America also made a distribution to its members, our share of which was $2.2 million. 
 As of the end of September, Parkdale America has approximately $63 million in cash and no outstanding debt. 
 We understand that the $29 million improvement in cash on hand during the quarter despite lower-than-expected earnings is a result of working capital reductions related to the cotton cost -- related to the reduction of cotton cost to more normalized levels. 
 Going forward, we expect the results of Parkdale America to be challenged through the end of the third fiscal quarter, given their seasonality and lower volume projections, then begin to return to more normal operating conditions and run rates in the second half of our fiscal year. 
 In our other equity affiliates, year-over-year production volume improvements in our nylon joint ventures resulted in $629,000 of earnings for the company in the September quarter, a positive swing of almost $1 million compared to the year-ago quarter. 
 Turning to the working capital highlights on Page 7, adjusted working capital increased $7.5 million during the September quarter. 
 Inventory increased by $4 million as polyester costs increased through the quarter and inventory units increased domestically due to sales rate decreases in August and September. 
 The company reacted to the change in sales rate in the second half of the quarter by cutting back production in raw material purchases, and we ended the quarter with only a slight increase in units and a decrease in accounts payable related to the timing of raw material purchases. 
 The change in accrued expenses is a result of quarter-end timing and the annual payment under our annual variable compensation plan in August. 
 Turning to the cash and liquidity highlights on Page 8. Cash on hand increased $1.7 million from the June 2012 balance. 
 During the quarter, the company made a scheduled payment of $1.8 million on its ABL term loan and a prepayment of an additional $4.5 million on the Term B Loan reducing its outstanding balance to $16 million. 
 The $1.3 million in debt being reported as other is a payment to us from one of our foreign equity affiliates, which is expected to be repaid by planned distribution from that equity affiliate once the distribution is approved by the appropriate government authority. 
 Now before I turn the call over to Bill, I'd like to provide an update on some key upcoming dates listed on Page 9. We have an investor meeting next Tuesday, October 30, at 9:00 a.m. in New York City. If you're interested in attending, please contact our Investor Relations Coordinator, Rebecca Landas. We expect to file results for the September quarter in our 10-Q on or before Friday, November 2, and our quiet period for the December quarter will begin on Friday, December 21 and extend through our earnings release conference call, which is currently scheduled for Wednesday, January 23. 
 With that, I'd like to turn the call over to Bill. Bill? 
William Jasper: Thanks, Ron, and good morning, everyone. 
 Overall, we are pleased with the positive start to our 2013 fiscal year and meeting our adjusted EBITDA goal for the September quarter. 
 By remaining committed to the efficient and effective execution of our strategic plan, we believe both adjusted EBITDA and earnings will be improved over our 2012 fiscal year. 
 A central focus of our strategic plan is making continuous improvements to our core business processes. And the success of this strategy can be seen in the September quarter as year-over-year gross profit increased by $6.2 million despite net sales gain of only $2 million. 
 In addition to benefiting from raw material prices that moderated over the last few quarters before beginning to climb recently, the company's gross profit improvement also reflects the benefits derived from improved flexibility, lower per unit costs stemming from the company's cost reduction efforts and growth in value-added products. 
 We also remain focused on enriching our product mix by growing global sales of our value-added PVA and trade-compliant products, and we are encouraged by an improvement in the performance and overall outlook for our International operations. 
 The currency rate in Brazil favors domestic production, which will bode well for the company as Brazilian economy continues to recover. We're also encouraged by the level of PVA development work in China, and we anticipate adding several new high profile PVA programs to the list that Roger mentioned earlier. 
 In Central America, our DTY assets are running at near capacity, and we look forward to the opportunities that will likely arise from the technical correction to the sewing thread provisions in the CAFTA free trade agreement. A significant portion of garment value comes from innovation and textile inputs such as fiber and yarn, and we have made substantial investments in our manufacturing facilities to develop and produce innovative value-added products. 
 This technical correction provides an additional incentive for the company to continue to bring new value-added products to the market that help create a stronger and more sustainable supply chain in the Americas. And we are pleased that Congress has acted to help protect and grow American jobs. 
 We are also focused on generating positive cash flows from our operations to drive our deleveraging strategy and fund selective growth opportunities. Reducing our debt by $49 million since June 2011, combined with our debt refinancing this past May, resulted in a decrease in interest expense of 2.9% for the current quarter. 
 While we grew working capital in the first quarter due to some inventory growth and timing-related AP reductions, we expect improvement in the second quarter and will continue to manage our working capital aggressively to provide us with the flexibility needed to further execute against our deleveraging strategy and to provide us with cash availability needed to continue the execution of our strategic objectives. 
 While we're pleased with the first quarter performance, we recognize there are challenges we have to face over the next 1 or 2 quarters. The economy is still very fragile and uncertain, and it is difficult to tell how consumers will respond after the presidential election, especially in light of the pending fiscal cliff and tax cuts set to expire at year end. 
 Although there are some positive economic signs in the September quarter, we still see an economy moving more sideways than upward, and our course is about the upcoming holiday season at retail. 
 However, we are encouraged by the fact that production rates and inventory in the supply chain appear to now be closely aligned with retail sales levels, indicating the supply chain may be better positioned to react to any negative shifts in consumer demand over the holidays than it has been in the present should there be negative shifts. 
 Looking longer term, our view of CAFTA in the Americas region remains positive. Regional share of U.S.-purchased apparel has stabilized over the last 4 years and we expect to see regional production growth, which bodes well for our longer-term sales. 
 We are also mindful of the challenges that we face as raw material prices have moved up with the last few months, which will exert margin pressure on us in the short term. 
 The gap in polymer price between the U.S. and Asia, which Roger mentioned was in the $0.11 range for the September quarter, will put pressure on volumes and margins at least in the short term, particularly at the lower end of our product line. 
 On the positive note, however, global oil output and demand dynamics appear to be putting downward pressure on oil prices, while polyester raw materials are primarily affected by supply and demand of para-xylene, PTA and Mono Ethylene glycol, a downward trend in oil could help moderate polyester raw material prices later in the second half of our fiscal year. 
 In light of these factors, the company expects adjusted EBITDA for the second quarter of fiscal 2013 to be in the $10 million to $12 million range, and we continue to anticipate adjusted EBITDA to be in the low $50 million range for the 2013 fiscal year. 
 And with that, I will turn the call back over to the operator for any questions that you may have. 
Operator: [Operator Instructions] Your first question comes from Chris McGinnis with Sidoti & Company. 
Chris McGinnis: Just a few questions. One, just on -- I guess, to start off just on the Parkdale asset itself. Why are they seeing such a lag in terms of inventory correction or de-stocking? Can you maybe walk through that a little bit? If you're seeing it -- it seems like you're a 6 month lag, it seems? 
Ronald Smith: Yes, Chris, I think the -- we had that same lag last year. We started probably August or September last year, and they had a good September quarter and a good December quarter, if I remember correctly. But they went into this after we did, but they also had a compounding effect because just remember they were coming off those record-high raw material prices. And so I think it has taken a little bit -- it's taken a lot longer for those guys to react to that sort of inventory de-stocking because raw material prices did get so high there. So they had the same one we did. They started later than we did. It's lasting longer, but I think that additional length is due to those higher prices. 
William Jasper: And, Chris, this is Bill. What I'd add to that is when the cotton prices got as high as they did about a year ago, there was a -- and I'm going to say temporary, there was a shift to a more polyester rich mix in a lot of garments. And by polyester, I mean polyester staple, not our filament because polyester was so much cheaper than cotton at that time. Now that cotton prices have moderated and actually polyester prices are up a little bit, we anticipate we're going to see a shift back to more cotton rich, which over the next 6 to 12 months should increase their volumes. 
Chris McGinnis: Just on the Brazilian business, you talked about that dynamic of some competition. I guess, just in terms of what we've talked about before, it felt like with the higher conversion rate that you would think that, that would be less. I guess, what has maybe changed in that market for -- to allow for the competition to continue to be a threat in the Brazilian operations? 
R. Berrier: Chris, this is Roger. When the exchange rate was down at that BRL 1.63 level that we referenced, that certainly made imports much more competitive to be brought in. And as that exchange rate increased to that BRL 2.0 level, some of those imports continued to flood into the market, particularly around the garments fabrics and also the yarns. So while we have seen improvement in our volumes since the exchange rate improved to that BRL 2.0 level, as we commented that, that bodes well for domestic production, we still see a lot of imports coming in at low prices. And if you look at sort of polyester utilization rates around the world, they still remain at low levels. And while they're at those low levels, certainly, the imports are looking to come in and move volume, and Brazil is a target market for them. 
Chris McGinnis: Just on the capital allocation program, now that you've really strengthened the balance sheet, paid down some pretty aggressive debt and taken out the notes, going forward, can you maybe just think about, other than maybe some capacity expansion, maybe projects, maybe a little bit more debt pay down, plans outside of those 2 uses for capital? 
Ronald Smith: Yes, Chris, this is Ron. I think we've talked about that for a while now as we've sort of gone through that deleveraging process. The first step of that de-leveraging was certainly paying down the debt levels that we had to get to where we could do the refinancing back in May. And that refinancing back in May, it took us out of the high-yield market into the ABL market. And obviously, you can see our effective interest rate for the end of the quarter was like 4.2% compared to where we were at. So step one was paying down debt, step 2 was doing that refinancing. I think where we stand today, we'll continue to do deleveraging and continue to pay down debt. And we have talked before. We're always looking for opportunities to grow our value through mix enrichment opportunities or PVA growth opportunities, and we'll continue to find and finance that. I don't think we're at any kind of target debt level or anything like that right now, so we'll continue to pay that down until we get to that position. And then as we move forward, we'll look at other opportunities to create shareholder value. 
Chris McGinnis: What would be the optimal, I guess, cap structure leverage ratio? 
Ronald Smith: If you look at -- just look at our existing debt structure where we're at today, we've got those 2 -- we got the ABL Facility, that's $150 million facility with our borrowings out under that, somewhere around $90 million. And then you got the Term B Loan on top of that. It's L plus 750 with a 125 floor. So obviously, we would want to pay that higher rate debt down to get into the ABL Facility alone, and then we would want to get an appropriate amount of cushion in that ABL Facility. But once we reach that point, I think, then that's when we would start looking at other opportunities. 
Chris McGinnis: And just on the margin pressure you are talking about, I guess, it seems like just from the guidance that you did give for the quarter for Q2, it seems like the benefits of maybe the volumes and maybe the International assets are somewhat mitigating that, is that kind of right to think about it? 
Ronald Smith: I think from a -- if you look at what we're saying sort of, we've -- in our slides, we've got September-over-September comparison. But if you look at sort of September versus June, our volumes are down a little bit, our margins are up because we ran -- we came into the quarter with a declining raw material environment, which meant as that inventory flowed its way through the system, we were able to pick up some margins that was good. We're able to recover some lost margin that we had when raw material prices peaked. I think when you think -- when you look forward to what we're forecasting of -- instead of 13.8 for this quarter, 10 to 12 for next quarter, basically what we're saying on that is probably 3 things. One is seasonality, the textile industry adjusts inventory and shuts down production at the holiday time -- the domestic, the U.S. textile industry, the holiday here, Christmas and then again, in Fourth of July. So both of those time periods, you're going to have shut down periods in. This quarter, we're going to be running into a shutdown at the end of this quarter. So we are expecting lower volumes. All the back-to-school, all the holiday products have already been shipped, so what we're shipping now is the beginning of the spring 2013 shipments. And so we seasonally have lower volumes here in the December quarter. So that will be part of it. The other part of it is our average raw material price across the globe will be higher in the December quarter than it was in the September quarter. So we'll be passing those prices along to our customers. I think Bill talked a little bit about longer term. We see some moderation on that. But here of the short term, we'll have to pass that along. And we talked before about as -- when you're in that rising raw material environment, you work that through as quickly as you can, but we do lose on that sometimes. So I think that's more the impetus for our guidance. I think when you look at Brazil and the International operations, we see continued improvement in those operations, but it's -- we still have 75% of our assets still here in the U.S. or in the North American region. And so that improvement is not going to offset those volume challenges from the holiday shutdown and the higher raw materials here in the U.S. 
Chris McGinnis: And just lastly on the taxes, and how much longer until the NOL runs out? 
Ronald Smith: Yes, I think we ended the year in June with about $21 million, $22 million of net operating loss carryforwards. It's a complex calculation. For instance, one of the drivers for higher taxable income as opposed to book income is going to be our -- the tax depreciation difference because we obviously took accelerated tax depreciation when we made all the capital expenditures. So our tax depreciation at this point is lower because we've already fully depreciated some of those assets. It's lower than what our book depreciation is. So we'll eat through -- on a taxable income standpoint, we'll eat through those $22 million of NOLs this year, likely by the end of the third quarter or right at the end of the third quarter, early in the fourth quarter from a run rate standpoint. That's when we'll eat through those. So we will be cash taxpayers assuming we meet the forecast that we have out there and assuming Parkdale sort of meets the forecast we put out there. We will be cash taxpayers this year at the very end of the year, but it'll be a small amount. Then we flip over into fiscal 2014, we will be cash taxpayers here in the U.S. for that full year. 
Operator: [Operator Instructions] Your next question comes from John Curti with Singular Research. 
John Curti: A couple of questions for you on the equity affiliates side. A nice swing over on the other affiliates about $1 million swing. You talked about the nylon business. Can you talk a little bit more about the outlook for the remainder of the year for those 2 affiliates? 
Ronald Smith: Yes, from the -- obviously, from the nylon side of it, what we talk about all along is the equity affiliates is made up of those nylon joint ventures plus the Parkdale joint venture. The Parkdale joint venture is an investment, whereas these nylon joint ventures are much more strategic to us. So they're our raw material supplier for our nylon business. There's one in Israel that makes U.S. -- that makes yarn that can be used in the U.S. and in NAFTA. There's one in -- here in the U.S. that makes CAFTA-compliant yarn. So those businesses for us are strategic raw material suppliers for us, and those businesses are all about how we utilize those assets and sort of how polymer pricing is impacted in those assets. So we feel pretty good over the history of that joint venture for the last 10 to 12 years in Israel and the last 4 or 5 -- 3 or 4 years here in the U.S. those joint ventures have been solid investments for us and moneymakers. And this year, this quarter has been a very much of an improvement year-over-year, and it's really because of the utilization rate of those assets. And so we are expecting those assets to continue to be fully utilized or are utilized at the levels that they've been running at. And we're expecting for the remainder of the year to be pretty similar to what we had for the first quarter for the 2 UNF businesses. And Parkdale, we sort of talked through that. Parkdale is basically -- for the first half or for the remainder of this year, like I talked about for us really, for Parkdale, they've already shipped their back-to-school. They've already shipped their holiday shipments, so there's not a lot of volume opportunity for new programs. That's how you start getting into spring 2013. The shipment will start coming up over the next couple of months, and so they believe with having -- with where they had the first -- the September quarter, their December quarter is still going to be difficult with improvements starting in the back half of the year and getting back to a more normalized level by the end of the year. 
John Curti: And you're talking about the back half of a calendar 2013? 
Ronald Smith: Yes, sorry. The back half of fiscal 2013, so January '13 to June '13. 
John Curti: And you mentioned that there was about $2.4 million, $2.5 million of deferred income because of the qualifying nature of the capital expenditures for Parkdale. Will that flip into the second quarter for you? 
Ronald Smith: It's -- probably not. And the way that -- let me give a little bit of background for everybody. The way that works. You get a pound -- you get a rebate, it's now $0.03 per pound -- $0.03 per pound rebate for every pound of cotton that Parkdale consumes. So that cash comes in the month after -- or close to when they actually purchase the cotton. The benefit for that, from an accounting perspective, can't be recognized until you meet all the qualifications for that receipt. And basically those qualifications are, for every dollar that you receive, they have to reinvest that in cotton spending or related to cotton spending capital expenditures during that marketing year, which runs August to July or 18 months after that -- or within 18 months after that marketing year. So from an accounting perspective, those -- the EAP rebates are going to be recognized based off how those qualifying CapEx get spent. And Parkdale historically has bunched those together. So they would go for 6 months and do very little capital expenditures, then they would modernize an entire plant and spend $50 million. And so they would go from a deficit balance in that revenue recognition to a -- they go to 0, but then they've got credit that they'll use as they bring in more. So that won't be recognized in the next quarter. It'll likely be recognized as they start doing more CapEx once the business starts to improve more in that back half of our fiscal year. 
John Curti: And at the end of your June '12 fiscal year, what had they communicated to you in terms of CapEx over that like July 1 '12 through June 30, 2013 period? 
Ronald Smith: That's not a number that we sort of disclose. I mean I think if you want to get to where we look at that -- the way I look at that is they're going to spend those -- they're going to spend those deferred -- they're going to spend those EAP rebate dollars on qualifying CapEx. And what we do is try to provide with the investor of sort of what their deficit balance is or what they've overspent. So the investor will know -- and what I do with it is basically I take out whatever we recognized, and I put back in what was received. So for like this quarter, if I was doing a model on what Parkdale's impact was for this quarter, I would take out the 2.3 that was recognized and put in the 4.9 that was actually received in cash, and that's what I would say this quarter looks like. So I sort of normalized that, because they're going to make that CapEx over that period, but the -- so that's sort of statement 1. Statement 2 is that level of CapEx that they're receiving is somewhere in that sort $18 million to $20 million a year of EAP rebate. So that's a number that they're going to -- over the long period of time, that's a number they're going to average on those qualifying CapEx. So if you want to use just a high-level number, that 18 to 20 is the number I would use. 
Operator: Your next question comes from Jonathan Sacks with Stonehill Capital. 
Jonathan Sacks: Can you just explain again? You mentioned several times the reference to a $0.05 per pound differential in Asian raw material cost versus here. Can you just explain a little bit about what you mean where versus where and which raw material specifically? 
Ronald Smith: It's for our polyester business. We call it the polymer gap. And basically what it is the polymer pricing -- the PX pricing here in the U.S. is a formula-based pricing. It gets published on a monthly basis, and that formula is how most supply contracts, including ours here in the U.S., are set up. So if the formula goes up, if the components of the formula go up a nickel, then the price goes up a nickel. If the components go down $0.02, our price goes down $0.02. So it's a published formula that all the suppliers in this region follow and all the contracts are based -- all the supply agreements are based off of that. So we have a formula-based price here in the U.S. and it is what it is. In Asia... 
Jonathan Sacks: I'm sorry, just apologies, but a formula for what? You said PX, is that para-xylene? 
Ronald Smith: Yes, PX is -- if you think of what we call polymer, PX is the feedstock for PTA, and then PTA is the feedstock for polyester polymer. You mix PTA and MEG together to get polyester. So that change in PX under that formula is a very big driver. And if you get to PTA, PTA is the largest component of our polyester feedstock costs as well. So that feedstock price change changes our raw material price coming into us, up and down on a monthly basis. So when you -- so we've got a formula-based price. In Asia and other places around the world, the markets don't sort of -- all the customers -- all the suppliers don't sit down and agree to sell off that same formula, and that's probably a little bit harsher than what I mean, but they're not -- it's not formula-based pricing. There's supply contract and there's spot pricing. And so -- but it's based -- it's purely based off supply and demand over there. When supply gets tight, prices go up; when supply gets loose, prices go down. And so there's a gap for the same polyester polymer that can be bought here in the U.S., it can be bought cheaper in Asia because of the limited number of suppliers here and the formula-based pricing here compared to the larger number of suppliers and the lack of formula-based pricing in Asia. So that gap means our competition for yarn has a lower starting point. So when -- how that affects us basically is break our business down into compliant and noncompliant yarn -- we said a little more than 60% of our business is compliant yarn. Well, pretty much everybody that's participating in that compliant yarn segment has that same formula-based issue. So it's not really an issue on that 60% of our compliant business. That bottom 40% of our business that is noncompliant that could be supplied by imported yarns, that's where we see competition around that, and that polymer gap affects that. So a big portion of that is automotive. It's stuff that won't be imported, but probably half of that 40% or about 20% is truly commodity business. And that true commodity business, if that polymer gap increases a nickel, if it goes from $0.05 to $0.10, we're $0.05 less competitive with those imports. If it collapses from $0.10 back down to $0.05, we're $0.05 more competitive. And that polymer gap moving around has a big impact on that very bottom end of our most [ph] commodity business. 
Jonathan Sacks: And just one other small question. I'm not sure if you touched on it was your capital expenditure outlook for the coming quarters or year? 
Ronald Smith: I think we -- I don't know if we provide -- yes, we did provide this. $8 million to $10 million that we expect here for this fiscal year. So use $9 million for your modeling. 
Operator: Your next question comes from Malcolm Pruett [ph], private investor. 
Unknown Attendee: I was just wondering how the competitive nature in the market is versus the REPREVE? What kind of competition do you have, and what do you expect to have in the future? 
R. Berrier: Yes, this is Roger. When we look at REPREVE, certainly when we go to -- with our discussions with brands and retailers, that's how we get REPREVE baked [ph] into this different garments. And when we talk to the brands and retailers, there are really 2 regions of the world that a lot of the sourcing is taking place. It's whether in the North American region or over in the Asian region. We supply REPREVE in both parts of the world. And depending on where they're going to produce the garments, that determines sort of the competitive landscape with recycled polyester. In Asia, we have probably 3 or 4 major competitors that also offer recycled polyester. In the North American region, we have 1 or 2 smaller competitors that offer recycled polyester. We would say globally that we are the dominant supplier, particularly around the branded programs. We offer the branding, the marketing support, the co-marketing support. And we also have a unique property within our REPREVE brand is a tracer, identification system. So when you use REPREVE, we're able to identify that REPREVE is present in the garment, and we also can test for the presence of REPREVE. And what makes that important is when you use recycled polyester, it's very hard to detect, almost impossible to detect whether the garment was actually made from virgin polyester or recycled polyester. But when you use REPREVE, we are able to test and confirm that REPREVE is present. So for major brands and retailers that are very concerned around greenwashing and making sure that they do have recycled content in the garment, certainly, we have a competitive advantage no matter whether it's in Asia or North America to make sure that we convince them to use REPREVE. So a long answer to your question, but certainly there's probably 3 or 4 major suppliers in Asia that we compete with and only a few smaller suppliers here in North America. 
Unknown Attendee: One more question. Where do you see the growth of REPREVE over the next year or 2? 
R. Berrier: Certainly, we have -- our goal is set that we're looking at that 20% growth rate for all PVA, and REPREVE is a major driver of that growth rate. 
Operator: Your next question comes from Chris McGinnis with Sidoti & Company. 
Chris McGinnis: Just another quick question and this may not apply, but with the changes in the tax code coming up, would that change Parkdale's distribution at all? Would they do it one time just because they're growing that cash balance? I may be totally off base, I just wanted to ask and see if that's even a possibility. 
Ronald Smith: Parkdale is an LLC, so we're paying taxes based off the earnings, it's not off the distribution. So the income passes straight through to us and then -- so we're not paying based off their distributions we are only paying off their earnings. What Parkdale does do is make a calculation of what's the tax impact on the individual members and generally pays the dividend in order to at least offset that. They paid a special dividend, which was a little bit higher than that. I think we got our total. It's about $4.5 million back in June. So now that they have paid down debt and they've started to build cash balances, they have paid a special dividend, and we're expecting -- instead of special, let me call it excess, a dividend -- or a distribution in excess of those tax distributions. So they are paying those excess tax -- distributions in excess of tax distributions. They've started to do that, and we're expecting more of that in the future, but the change in tax law won't necessarily affect the timing or the size of those distributions. 
Operator: Your next question is a follow-up question or comment from John Curti with Singular Research. 
John Curti: I had a follow-up question on your China operation. You'd mentioned that one customer returned, the other customer did not. Is that one customer that did not, does that customer ship heavily into Europe? 
Ronald Smith: Yes, they do. The one customer that we referenced has not returned to the market based on the inventory that's still built up in their supply chain. Not only their supply chain, but the whole retail supply chain does service that European retail environment. 
John Curti: So the outlook there is probably for continued slowness in that region, so that customer is likely the key -- to continue to be working off inventory for a while. 
Ronald Smith: Yes. I mean they've been working off inventory. We've reported that China has been off in volume for the last couple of quarters as we referenced the slowdown. But we've noticed and worked with them and see that the inventory is depleting, so we anticipate continuous slowness probably in the second quarter. But starting our third quarter, so January, February, we anticipate them not coming all the way back to where they were because of the retail environment, but certainly coming back in for some part of their business. 
John Curti: And you mentioned that you had some new products that offset some of the shortfall from them not returning, but it was done at lower prices and margin. Can you talk about what types of product? 
Ronald Smith: Yes, I mean we've replaced some of that volume with some new programs that we've been working on for the last one year in that 12-month development cycle. Those programs are around different variations of our PVA product mix. Some of the price points vary within that whole category. So we've been successful in landing new programs as we project that 20% growth rate. Certainly, there's a mix within that 20% -- some are at higher price points and some are at lower price points. So we did get some of the programs placed at some of the lower price points to make up for some of that lost volume. 
John Curti: And you mentioned your breakdown kind of 60% compliant yarn, 40% noncompliant, about half of that really low-end commodity business. Is the plan, longer term, just to kind of keep working that very low-end commodity business out of the mix? And how quickly do you think you can do that? 
Ronald Smith: Yes. I mean as we talk about our product mix enrichment strategy that Bill referenced as one of our core objectives as a company, we continue to work with our PVA products, our PVA customers. We're growing that portfolio. We referenced growth rates at 20% to 25% a year. We set a goal 2 years ago to double that category all with the intentions of minimizing the impact of that lower-end commodity business has to us. Now we will participate in that lower-end commodity business as the raw material situation and the polymer gap allows us to profitably, but certainly we're trying to divest ourselves from being reliable on that for our product mix. 
John Curti: Any benefit to keeping some of that business even if it's very low profit or almost no profit in terms of just optimizing your production runs, et cetera? 
Ronald Smith: Yes. I mean as I mentioned we will continue to operate in that business segment as long as it's a profitable opportunity for us. And that business will swing up and down based on that raw material gap that Ron mentioned. Because in that noncompliant business, we're having to compete with DTY imports. And then based on that raw material situation, sometimes we can be very competitive and sometimes we cannot be competitive. But when we can be competitive, we certainly want to run our assets full and look for opportunities to grow. 
Operator: At this time, we have no further questions. [Operator Instructions] And there are no further questions. 
William Jasper: Okay, operator. This is Bill. Just a couple of quick closing comments. 
 I think in summary, the U.S. economy, despite some positive news over the last few months, frankly, the U.S. economy is not growing very robustly, and it continues to sputter as it has over the last few years. 
 Despite that, we had a very good first quarter. We also feel that our 2013 fiscal year will be improved over 2012, and we continue to drive programs that we feel are going to continue to improve our results. 
 Certainly, we look forward to seeing many of you at the Investor Meeting next Tuesday, and I want to thank you all for your time and questions. 
Operator: Ladies and gentlemen, thank you for joining today's conference. Thank you for your participation. You may now disconnect.